Operator: Welcome to Watts Water Technologies, Inc. Fourth Quarter and year 2024 earnings call. At the end of the presentation, we will open the line for questions. I will now turn the call over to Diane McClintock, Senior Vice President FBNA and Investor Relations. Thank you, and good morning, everyone.
Diane McClintock: Welcome to our fourth quarter and full year 2024 earnings conference call. Joining me today are Bob Pagano, President and CEO, and Shashank Patel, our CFO. During today's call, Bob will provide an overview of 2024 as well as an update on our Shashank will discuss the details of our fourth quarter and full year financial results and provide our outlook for the first quarter and full year 2025. Following our remarks, we will address questions related to the information covered during the call. Today's webcast is accompanied by a presentation. Can be found in the Investor Relations section of our website. We will reference this presentation throughout our prepared remarks. Any reference to non-GAAP financial information is reconciled in the appendix to the presentation. I'd like to remind everyone that during this call, we may be making certain comments that constitute forward-looking statements. These statements are subject to numerous risks and uncertainties, that could cause actual results to differ materially. For information concerning these risks, please see Watts' publicly available filings with the SEC. The company undertakes no obligation to update or revise any forward-looking statements whether as a result of new information, future events, or otherwise. With that, I'll turn the call over to Bob.
Bob Pagano: Thank you, Diane, and good morning, everyone. Please turn to Slide three and I'll provide a recap of 2024 and an overview of the key drivers for our 2025 outlook. 2024 was a momentous year for us, marking the 150th anniversary of the company and another year of record performance. I'd like to start by thanking the entire Watts Water team for their tremendous contributions to these results. We finished the year with a solid quarter that exceeded our expectations, including record fourth quarter adjusted operating margin and adjusted EPS. Drove record full year sales, operating income, earnings per share, and free cash flow. Organic sales decreased by 1% largely driven by weakness in Europe and adjusted EPS increased by 7%. Adjusted operating margin decreased only 10 basis points versus the prior year despite 60 basis points of acquisition dilution. Significant volume deleverage from weakness in Europe and incremental investments in our long-term strategy. I generated record free cash flow of $332 million, an increase of 18% with a conversion rate of 114%. Well above our expectations. Our balance sheet remains strong and provides us with the flexibility to continue investing for the future. Strategic M&A, high return investments, competitive dividends, and stable share buybacks remain our top capital allocation priorities. Moving to operations. Over the course of 2024, we were able to drive significant productivity savings through investments in automation, our focus on lean initiatives, both inside and outside the factory walls, leveraging the One Watts performance system and selective restructuring actions. These savings enabled us to mitigate the dilutive impact of acquisitions and the impact of European volume deleverage on our operating margins. We expect to continue investing to enhance productivity in our factories and drive margin expansion. As previously announced, we closed on our acquisition of Icon Systems on January 2, 2025. Icon is a leading provider of innovative plumbing and water management solutions. This strategic acquisition will expand our digital offerings and provide growth opportunities in the correctional facilities niche of the institutional market. Integration is underway and progressing well. We expect Icon to be modestly accretive to adjusted EPS in 2025 after factoring in incremental interest expense and normal purchase accounting adjustments. Last week, our board authorized a restructuring program involving the exit from a manufacturing facility in France. We'll be moving the production from this plant to existing plants in France and other locations. This action will help to simplify our manufacturing structure and provide incremental productivity. The majority of the expected costs for this program will be recorded in the first quarter. Full year run rate savings should be realized in 2026. Shashank will provide more financial details on this in a moment. As discussed in our last earnings call, we introduced our new intelligent water management solution Nexa. We continue to work multiple go-to-market strategies and the pipeline is growing nicely. Feedback from customers has been positive with concrete results of value creation from risk mitigation, reduced water consumption, and improved occupant comfort. We look forward to continued scaling of our ecosystem of digital solutions in 2025. As part of our One Watts performance system, we regularly assess our portfolio and phase out low-performing products under our 80/20 model. As part of this process, we have identified approximately $10 million to $15 million of sales we expect to eliminate over the course of 2025, a significant portion coming from our integration of Bradley. We expect these actions will be margin accretive in 2025. Now an overview of the drivers for our outlook for 2025. We believe that price as well as repair and replacement activity will continue to drive growth in 2025. Global GDP, a proxy for our repair and replacement business, has slowed but remains positive in our key end markets. In the Americas, non-residential new construction indicators are mixed. The ABI remains below 50, implying a slower 2025. The Dodge Momentum Index is slightly more positive, suggesting growth in nonresidential products will continue into 2025, primarily supported by strength in institutional and mega projects, including data centers. However, we believe growth in institutional mega projects will be partly offset by more challenged subverticals, including offices, retail, warehouses, and recreation. For residential new construction, we expect single-family will be flat to slightly up. Multifamily permits were in decline for most of 2024. With interest rates remaining elevated, expect multifamily starts to decline double digits throughout 2025. As a reminder, multifamily new construction accounts for less than 10% of our total sales. With the uncertainty surrounding the direction of inflation, and policy under the new US administration, we expect interest rates remain higher for longer, which may delay construction projects. We expect Europe residential and non-residential new construction to remain weak. In addition, we expect the heat pump destocking that has unfavorably impacted our OEM partners in Germany and Italy to continue in the first half of 2025. Reduced volume will have a more significant impact on earnings due to our higher fixed cost base in Europe. In addition to the planned closure of the manufacturing site in France, we implemented headcount restructuring actions in the fourth quarter that will help reduce the impact of volume deleveraging. Europe sales represent approximately 20% of our business. We expect growth in the Asia Pacific region with modest growth in Australia and New Zealand. We continue to monitor U.S. policy uncertainty, including potential tariffs and geopolitical uncertainty in the Middle East and Europe. We expect to proactively address any direct or indirect impacts to our customers and supply chain. With that, let me turn the call over to Shashank, who will address our results for the fourth quarter and full year and offer our outlook for Q1 and the full year 2025. Shashank?
Shashank Patel: Thank you, Bob. Good morning, everyone. Please now turn to slide four, which highlights our fourth quarter results. Sales of $540 million were down 1% on a reported basis and down 5% organically. As previously discussed, we had fewer shipping days in the fourth quarter, which unfavorably impacted our sales approximately 5% across all regions. Americas organic sales were down 3% and reported sales were up 3%. This was better than expected, particularly with the reduced shipping days. Some of this favorability was a result of several large projects shipping earlier than expected. Sales from our Joe, Sam, and Brandy acquisitions added $23 million. Europe organic and reported sales were down 15% with declines across all geographies due to fewer shipping days, heat pump destocking at our OEM partners in Germany and Italy, and weakness in new construction markets triggering some destocking in the wholesale channel. Apnea delivered 3% organic growth while reported sales growth of 4% was favorably impacted by 1% from foreign exchange movements. Double-digit growth in China and the Middle East was partly offset by declines in Australia and New Zealand, primarily driven by fewer shipping days. Compared to the prior year, adjusted EBITDA of $104 million increased 6% and adjusted EBITDA margins of 19.3% increased 140 basis points. Adjusted operating profit of $91 million increased 5% and adjusted operating margins of 16.8% was up 100 basis points. Adjusted EBITDA and operating income benefited from price productivity, favorable mix, and cost controls, which more than offset inflation, volume deleverage, investments, and acquisition dilution. Americas segment margins increased 160 basis points to 21.8%, Europe segment margins decreased by 480 basis points to 10.2%, and Apnea segment margins increased 480 basis points to 17.5%. Adjusted earnings per share of $2.05 increased 4% versus last year with benefits from acquisition, operational contribution, and reduced interest expense more than offsetting incremental tax expense. The adjusted effective tax rate in the quarter was 24.6%, up 230 basis points compared to the fourth quarter of 2023, primarily due to the recognition of additional R&D credits in the fourth quarter of 2023. Moving to the full year results, please turn to slide five. As Bob mentioned, we delivered record operating results for 2024. Sales were $2.25 billion, up 10% on a reported basis and down 1% organically. The organic decline was primarily driven by the challenging year in Europe. Acquisitions accounted for 11% or $215 million of incremental sales. Globally, foreign exchange had an immaterial impact. Adjusted EBITDA of $454 million increased 11% and adjusted EBITDA margin of 20.1% increased 20 basis points. Adjusted operating income of $400 million increased 9% and adjusted operating margins of 17.7% decreased 10 basis points. As Bob noted, adjusted operating margin decreased only 10 basis points versus the prior year despite 60 basis points of acquisition dilution and significant volume deleverage from weakness in Europe. Similarly, the Americas segment margin was unfavorable of acquisition dilution. Excluding acquisitions, the Americas core business operating margin was up 100 basis points and Apnea was up 170 basis points, a very strong performance by both teams. Adjusted EPS of $8.86 increased by 59 cents or 7% versus the prior year. Benefits from acquisition operational contribution, and reduced interest expense more than offset incremental tax expense. For GAAP purposes, we incurred after-tax charges of $16.1 million in restructuring and acquisition-related costs. These charges were partly offset by $10.3 million of nonrecurring gains on the sale of assets, the settlement of the terminated Bradley pension plan, and other investment gains. Free cash flow for the full year was $332 million, an 18% increase compared to 2023 and was a company record. The increase was driven by higher net income, improved working capital, and cash flow generated by acquisitions. Our 2024 free cash flow conversion was 114%. We returned $73 million to shareholders in the form of dividends and share repurchases in 2024, and increased our annual dividend return by 20%. Our net debt to capitalization ratio at year-end was negative 13% compared to negative 4% at in 2023. Our net leverage ratio at year-end is negative 0.4. Balance sheet continues to be in excellent shape and provides substantial flexibility to fund our capital allocation priorities. Now on slide six, let's review our outlook for the full year 2025 and our expectations for the first quarter of 2025. Our 2025 outlook reflects the market factors previously discussed by Bob. Starting with the full year assumptions on both our reported basis and organic basis, we expect sales to range between down 3% to up 2%. Regional expectations are as follows. Americas from down 3% to up 3%, Europe from down 8% to down 2%, and Apnea from flat to up 5%. In addition, we expect approximately $25 million of incremental sales in the Americas from acquisitions to be offset by the impact of 80/20 product rationalization of between $10 million and $15 million and the unfavorable impact of foreign exchange across all regions which equates to a decrease of $28 million in sales and $0.11 per share in EPS versus the prior year. Adjusted EBITDA margin is expected to be in the range of 20% to 21% or up 30 to 90 basis points. Adjusted operating margin should be in the range of 17.7% to 18.3% or flat to up 60 basis points. From a regional perspective, the Americas segment margin is expected to be flat to up 60 basis points. We anticipate the segment margin in Europe will be down 30 basis points to up 30 basis points and Apnea will be flat to up 60 basis points. We expect the margin improvement to be driven by price productivity, and restructuring savings which will more than offset inflation and volume deleverage. As Bob mentioned, we have completed negotiations to exit a facility in France. Total pretax exit costs are estimated to be $22 million. We will record a majority of the cost in the first quarter and provide more detail during our first quarter earnings call. Most of the costs are severance related and are expected to be incurred in 2025. Full year pretax run rate savings are estimated to be $3 million which should be fully realized in 2026. We expect about $1.5 million in savings this year largely in the second half. We expect to deliver free cash flow conversion of greater than or equal to 100% of net income in 2025. Finally, a few items to consider for Q1. On a reported and organic basis, we expect sales to decrease between 3% and 7%. Regionally, we expect a low to mid-single-digit decline in the Americas, and a high single to low double-digit decline in Europe. Partly offset by Apnea which is expected to be flat. Based on the calendarization in 2025, we'll have fewer shipping days in the first quarter versus last year which will unfavorably impact sales by approximately 3%. We also expect Europe to remain weak as heat pump destocking is expected to continue at least through the first quarter. We expect approximately $5 million of incremental sales in the Americas from acquisitions to be offset by the unfavorable impact of foreign exchange across all regions which equates to a decrease of $7 million in sales and $0.03 per share in EPS versus the prior year. We do not expect a significant impact from our 80/20 actions in the first quarter. First quarter EBITDA margin is expected to be in the range of 19.4% to 20% or down 60 to 120 basis points. Operating margin should be in the range of 16.9% to 17.5% or down 70 to 130 basis points. This is primarily due to the volume deleverage impact of fewer shipping days and continuing European weakness. Other key inputs for the first quarter and the full year can be found in the appendix. With that, I'll turn the call back over to Bob before moving to Q&A.
Bob Pagano: Thanks, Shashank. On slide seven, I'd like to summarize our discussion before we address your questions. We delivered a strong 2024 performance with record sales, operating income, EPS, and free cash flow. While we expect mixed global markets in 2025, our portfolio is agnostic to end markets and our teams will pivot to the growing sub-verticals. Our business model, which includes a large repair and replacement component, provides a durable base that drives a steady revenue and cash flow stream. We continue to invest in our digital strategy, including the recent introductions of Nexa. We look forward to growing this solution to expand our suite of offerings for our customers. We believe our highly experienced team is well-positioned to proactively navigate current market conditions, controlling costs and driving productivity through our One Watts performance system. While capturing our fair share of demand and positioning us to capitalize on long-term secular trends. Our balance sheet continues to be strong after our strategic acquisition of Icon and provides ample flexibility to support our balanced capital allocation priorities. Our acquisition pipeline remains active and will continue to pursue attractive opportunities to expand our solutions, geographic presence, and growth. With that operator, please open the lines for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin our question and answer session. If you have dialed in and would like to ask a question, please press star followed by the number one on your telephone keypad. If you would like to withdraw your questions, simply press star one again. Thank you. Your first question comes from the line of Andrew Creel with Deutsche Bank. Please go ahead.
Andrew Creel: Hi. Thanks. Good morning, everyone. I'm gonna ask on the 80/20 action, which I believe are new for the company. You know, if you do the math, it's like they're about a point of a sales drag for the company this year, which seems relatively normal with 80/20. So can you touch on the margin profile of what you're exiting? Is it fair for us to assume, you know, these could be breakeven margin businesses? And you expect this, you know, the sales track to be done in 2025? Or, you know, could this dynamic happen again in 2026? Thanks.
Bob Pagano: Good morning, Andrew. Yeah. So 80/20 has been part of the One Watts performance system since I got here eleven years ago. So if you remember, we exited about $175 million in undifferentiated product. So it's in our it's in our arsenal of tools that we use. We call this out specifically because Bradley was a larger acquisition, it's a midsized acquisition, and part of our overall process when we do acquisitions is to really look at their profile and a focus on improving margins and eliminating, you know, products that don't you know, make a lot of money for us or have low margins. So that's all we're trying to do is call that out. These are niche accessory type products and that we're just exiting because it doesn't make sense to do it. So they're basically breakeven products. There's probably another incremental $5 million or $6 million of Bradley that moves into next year, but we called it out just because it was a bigger item this year.
Andrew Creel: K. Great. That's helpful. And then just on the I think I noted in the prepared remarks some sales. Shipped a bit earlier in the four q. I just pieceized that and which segment you know, that impacted? Thanks.
Shashank Patel: Yeah. It's probably in the Americas. This is Shank. It's probably in the Americas, and there was some project pull-ins we had. In our in our commercial business on the on the boiler side. Approximately $4 million is what was pulled in.
Andrew Creel: Great. Thanks, guys. Your next question comes from the line of Latham Jones with Stifel. Please go ahead. Good morning, everyone.
Latham Jones: Good morning. Good morning. I guess I'll I guess I'll start with the topic, do jour with the US administration imposing 25% tariffs on aluminum and steel, I'm Watts has had, you know, a very good track record in inflationary periods over the last several years of of being able to pass inflation through to customers, Maybe we're in a little bit, you know, weaker demand environment now. So I mean, just any color you can give us on what your exposure is to those tariffs, how you would plan on dealing with them, and whether or not you think the market is in a position to bear cost increases, not just from you guys, but you know, across Supplies.
Bob Pagano: Well, Nathan, it's always top of mind for us to stay in front of these type of tariffs, etcetera, and we'll continue to do that. We will be raising prices as soon as, you know, we see these, and we'll be passing them on. Certainly, we don't know the implications of on the construction industry, related to tariffs if that eventually slows things down. Or not. But I think continue with our track record. We'll continue to push, and offset those costs.
Latham Jones: So it it would be your intention that you would fully offset any tariff impact with price?
Shashank Patel: Yes.
Latham Jones: Okay. Cool. That's the answer I was looking for. I guess maybe on the on the product rationalization side at Bradley, I'm hoping that you could give us a little bit more color on on how you're using 80/20. I mean, you guys have as you said, Bob, you've been using these tools for, you know, ten years. This is the first time you actually called out 80/20. And attributed you know, lost products out to it or product exits to it. Is this something that you're, you know, a tool that you're looking to to use more over the next few years, or is this just you know, maybe it's just because it was $15 million this year, it it was it warranted calling out.
Bob Pagano: Yeah. I think it was a little better. It was just a bigger amount, and we inherited some backlog from Bradley that went through and stuff that, on a go forward basis, we're gonna do it. We're also looking deeply inside of Europe right now given the market condition and relooking at that in our product portfolio as well as our our footprint. So as we always do. So as we take advantage of opportunities where we see it, when there's sound volume, we continue to look at optimizing as discussed in the closure of this recent France facility. So we're always looking. We're always improving. We're always looking at 80/20 and profitability by customer and channel all the time. So it was just a bigger number, and I thought it was important to call that out and you'll probably see more work inside of Europe as we head into 2026. Can then maybe just one on Icon. You talked about that adding to the digital capabilities of the company. But it sounds like a pretty niche end market going into correctional May, any information you can give us on, you know, valuation of the business and then how you think you can leverage Icon's tech rest of the portfolio. Thanks.
Bob Pagano: Yeah. I mean, we've agreed not to discuss the purchase price. But I can tell you it's EBITDA neutral for the company. It's clearly less than nine multiple. We paid on it, so it's a good acquisition. We really like ICON because it's a growing market, it's a niche market, but they have controls on the front of the wall products and that's something we're very interested we could leverage through our Nexus system. So that was the appeal to us. It's a growing market and a profitable market. So it's a nice acquisition.
Latham Jones: For taking my questions.
Shashank Patel: Thank you.
Operator: Your next question comes from the line of Brian Blair with Oppenheimer. Please go ahead. Thank you. Morning, everyone.
Brian Blair: Good morning. I wanted to circle back to That's Bradley n Joseph. And maybe offer a little more of an update on integration there, how the PNL contribution is tracking. Relative to deal model. And if you're willing to disclose, you you'd said this, you know, accessory type products kind of break even. But are you willing to to note which product line specifically Your exiting volume, 80/20 this year.
Bob Pagano: Yeah. So the acquisitions are going really well. They exceeded both exceeded our profit in synergy targets this year, which is great. And the teams are off to a good start. If we get into the very details, non-core safety products, lockers, and accessories, basically. So those are niches, not all lockers, just a portion of lockers. Of items. So those are the niches that we're looking at. But clearly a focus on growing profit profitability is our focus.
Brian Blair: Understood. Appreciate the detail. And it would be great to hear more on the the rollout of Nexa. Yeah. The opportunity to to view the dashboard in person yesterday. It's it's it's actually quite impressive. Just curious how how that impacts your your digital strategy now, what you're hearing from customers and obviously, these early stages of the rollout. Any results you can speak to in terms of, you know, value add on the customer side and then perhaps remind us of your run rate SaaS revenue and how know, Nexo should influence that going forward.
Bob Pagano: Yeah. And we're we're really excited about Nexo, and I'm glad you had the opportunity to take a look at it. It's early stages. We just launched it in August. A lot of trials out there, but many savings from customers you know, in the hospitality. If you go on our website, you can see the customer customer testimonials and case studies. But like any new product, you know, people gotta test it. They gotta try it. They gotta appreciate it. But what's even more important about this product it protects our core products. And as you know, we've been driving this smart and connected initiative for a long time in all of our products are gonna be integrated by the end of this year into the Nexo platform. So we continue to add scale capabilities and haven't heard one customer that has disliked it. So we where our track record is really good, and we're looking forward to scaling it.
Brian Blair: I appreciate that, Keller. And then just to ask, you know, what is current SaaS revenue?
Bob Pagano: It's it's not a lot at this point in time. It's a growing part of our business. Our leak detection group has some of that. Some of our other products. But it's it's negligible and we'll be trying to continue to grow that leveraging the Nexa platform.
Brian Blair: Okay. Understood. Thanks again.
Shashank Patel: Thank you.
Operator: Your next question comes from the line of Mike Halloran with Baird. Please go ahead.
Mike Halloran: Hey. Good morning, everyone. Morning. Morning, Mike. So just on the demand outlook, nothing seems overly surprising there. So kind of a twofold question. One, has the thought process changed much in the last you know, quarter, ninety plus days here And then secondarily, what are you hearing from the channel? Is the channel saying something similar, more or less optimistic? And any signs that some of those distressed markets from the channel perspective might see a little bit more of a turn at some point this year?
Bob Pagano: I think, generally, as we saw in the last quarter, it's carried through. To the fourth quarter and probably into January. I think, as you know, uncertainty in the market pauses new construction. So there's been a bunch of uncertainty recently. But I think, general, there's optimism at this point in time. There's some you know, the multifamily, it's gonna take a while for that to come back. We saw that really hit us in the second half of the year. And as we said, we're gonna see that at the beginning of the year. Institutional is still strong. We're monitoring that. Driving that. But, you know, Mike, I I would say it's kinda same. There's some optimism at the recent the ASHRAE show. There's some optimism in the commercial markets, but let's see. Let's watch how interest rates go, and we'll follow through on that.
Mike Halloran: Thanks for that. And and then just thoughts on the European margins and you know, once you get through the restructuring piece here, and once the mix normalize a little bit with the heat pump side and some of the o e pressure, how should we think about the the the sustainable margin range for that region. Is this getting back to kind of that historical range Are there pressure points that would keep you below to these restructuring moves help maybe nudge you above? Just kind of a generic thought process, please.
Bob Pagano: Yeah. So the margins in Europe, as you know, are has been have been lower than the U. S. Primarily because we have more of an OEM channel there. So it's gonna be lower. Our our goal and drive is to get it back up to where it was pre all this decreasing, so we'll continue to do that. And and the team's focused on that. We'll we'll be adjusting our footprint as we talked about with France and, you know, we closed a facility a couple of years ago in France. So we're continuing to go after that fixed cost base. As you know, it's very costly, high payback, but our teams are working it real hard. And, you know, we get a little volume behind us, we'll we'll start seeing some margin drop through. So team's focused on that, and we'll be watching closely on that.
Mike Halloran: Appreciate it. Thanks, Bob.
Shashank Patel: Thank you.
Operator: Your next quest comes from the line of Jeff Hammond with KeyBanc Capital Markets. Please go ahead.
David Tarantino: Hey. Good morning, guys. This is David Tarantino on for Jeff. Morning, David. Sticking with the margin line. Could you just walk us through the puts and takes on the company level margin line, particularly given looks like volumes are expected to be down at the midpoint. Are the key buckets driving the improvement this year?
Shashank Patel: Yeah. So it's it's a combination of, you know, there's a little bit of price in there. Right? So we announced price increases in January, February, March. So those price increases are baked in. Productivity is another big piece of it. And as you know, in productivity, it's it's global sourcing savings. It's we did quite a bit of restructuring last year. It's productivity in the factories, outside the factories. It's a combination of all of that. And that obviously pays for the incremental invest as well as inflation and the net result. And we do have volume deleverage at the midpoint. Slight volume deleverage compared to last year. And with all of that is what's driving the net margin expansion.
David Tarantino: Okay. Great. Thanks, sir. And then maybe To get a bit more color on Europe, I guess, is surprised by the degree of remaining pressure coming into 2025. So maybe could you walk us through what are the puts and takes here? How should we expect the implied weakness to progress through the year?
Bob Pagano: Yeah. At least for the first half, we believe heat pump destocking will continue. It's just not a lot of new constructions happening right now given the uncertainty in the marketplace with the war and funding of the war, etcetera. So I think, you know, we're know, the first half will be probably the most challenged and we'll be looking to pick it up in the second half. But the as you know, I'm usually cautious on Europe, so we're going in with low assumptions so we can make sure our cost structure is in place. And we'll take any upside with volume if it happens, but we're not planning on it at this point.
Shashank Patel: And as you see the full year guide, the midpoint minus five, most of that minus five. Five, as Bob said, is happening in the first half. Q one is, you know, the midpoint is like, ten percent. So second half, we do get easier comps. With the big declines we had in second half last year.
David Tarantino: Okay. Great. Thanks for the color, guys.
Shashank Patel: Thank you.
Operator: Your next question comes from the line of Joe Giordano with TD Cavin. Please go ahead. Hi. Good morning. This is Dan for Joe Giordano. I'm wanting to touch on tariffs again. Morning. Just wanted to touch on tariffs again. If we see a scenario of reciprocal tariffs in Europe, does that impact your competitive positioning at all? I'm assuming that's not the case since you manufacture there as well, but if if you could comment on that.
Shashank Patel: Yeah. For the most part, you know, our model is manufacturing where we sell. Certainly, like, in North America, we do get some components from From China? But but but in Europe, for the most part, we are manufacturing in the Europe base. So if there are tariffs on imports from the US, it'll the the impact will be minimal.
Dan: Got it. Thank you. That that's very helpful. And you mentioned the correctional facilities niche as a as a growing niche that will be an attractive one. Obviously, I understand the the fundamentals of that market will be unique, but is there anything specific from a water product standpoint that is that that is unique in that market? That we you would wanna call out?
Bob Pagano: I I think it's just a refurbishment. Many of these facilities are very old, so their plumbing system inside of the cells need to be refurbished, and it's a unique specialized product from a safety point of view. That's in there. So a lot of renovation in that market.
Dan: Appreciate it. Thank you so much.
Bob Pagano: Thank you. Thank you.
Operator: Your next question, comes from the line of Nick Cash with Goldman Sachs. Please go ahead.
Nick Cash: Hi. Yes. This is Nick Cash on from Brian Lee. Can you all hear me? Yeah. Good morning. Hey. Good morning. Just wanted to touch back on the Icon acquisition. Just a small question. One, is that going to be I guess, going through wholesale distribution channel? And two, it is or if not, you know, is there any other I know you mentioned, you know, Nexus but are there any other cross selling opportunities there? Thank you.
Bob Pagano: It's primarily a direct customer model. There are opportunities to leverage some of their products through the Bradley rep channels, and we're evaluating that at this point in time. So small synergies, but on the sales side, but mostly mainly cost synergies leveraging our global sourcing and capabilities.
Nick Cash: Awesome. Thank you.
Shashank Patel: Thank you.
Operator: Star on your Telus. Please press star and one on your telephone keypad. As there are no further questions at this time, I would like to turn the call over to Bob Pagano for closing remarks.
Bob Pagano: Thank you for taking the time to join us today. We appreciate your continued interest in Watts, and we look forward to speaking with you again in May to discuss our first quarter results. Have a good day, and stay safe.
Operator: That concludes today's conference call. Thank you for joining. You may now disconnect.